Operator: Hello everyone, and welcome to Azul's Third Quarter 2020 Results Conference Call. My name is Beatrice, and I’ll be your operator for today. This event is being recorded, and all participants will be in a listen-only mode until we conduct a question-and-answer session following the company's presentation. [Operator Instructions] I would like to turn the presentation over to [indiscernible], Investor Relations Manager. Please proceed.
Unidentified Company Representative: Thank you, Beatrice, and welcome all to Azul's third quarter earnings call. The results that we announced this morning, the audio of this call and the slides that we'll reference are available on our Investor Relations website. Presenting today will be David Neeleman, Azul's Founder and Chairman; and John Rodgerson, CEO; Alex Malfitani, our CFO; and Abhi Shah, our Chief Revenue Officer are also here for the Q&A session. Before I turn the call over to David, I'd like to caution you regarding our forward-looking statements. Any matters discussed today that are not historical facts, particularly comments regarding the company's future plans, objectives and expected performance constitute forward-looking statements. These statements are based on a range of assumptions that the company believes are reasonable, but are subject to uncertainties and risks that are discussed in detail in our CVM and SEC filings. Also during the course of the call, we will discuss non-IFRS performance measures, which should not be considered in isolation. With that, I will turn the call over to David. David please go ahead.
David Neeleman: Thanks, [indiscernible]. Hi everybody and thanks for joining us for our third quarter 2020 earnings call. I want to start by saying a big thank you for all the support we have received from our stake holders, including aircraft manufacturers, lessors, banks, suppliers and the Brazilian government. All part of the managements plan we developed to confront the crisis and optimize the company for the future. Most importantly as everyone knows how much I care for our people at Azul, I have to express deep gratitude to our crew members. Their passion, sacrifice, and hard work have put us in a position to emerge from this crisis stronger than ever. Thanks to their support, and all the accomplishments over the past few months. I am confident in the strength of our company, and even more optimistic about the future. Like everyone else, we are closely monitoring the pandemic not only in Brazil, but also around the world. As you can see on Slide 4, the recent trends in Brazil have been favorable. Over the past 90 days, new case counts have been reduced and treatment capacity has increased. San Paulo is now in phase green of its COVID [indiscernible] we’re also helped by the seasonality here in the southern hemisphere as we move into summer. We plan to continue monitoring trends and maintaining our operational flexibility to quickly adjust to unforeseen changes in demand. Safety has always been our number one priority, and we continue to innovate and deliver a travel experience our crew members and customers are confident in. On Slide 5, you can see the range of measures we have implemented to focus on the health and safety – health and safety when traveling on Azul. Our digital boarding process called Tapete Azul, or Blue Carpet is unique in the world, resulting in higher NPS scores and quicker boarding times. I truly believe that our focus in delivering a travel experience that enhances customer confidence is one of the reasons for our strong demand recovery. Moving on to Slide 6, we give an update on our management plan. As we have described before, we believe that by working closely with our partners and stakeholders, we would successfully navigate this crisis. Once again, I have to say, the team did an incredible job. The successful implementation of this plan has given us 8.4 billion in additional working capital and cash savings between March 2020 and December 2021. And that's not including the variable cost savings from capacity reductions. Again, I'm so proud of this team and as a result of their work, we are the only airline in the Americas and one of the very few airlines in the world to preserve liquidity without raising cash in the second and third quarters. With that, I will turn the time over to John to give you more details on how well our recovery is going. John?
John Rodgerson: Thanks, David. Before I begin, I also want to thank our Azul crew members for their support and dedication. Azul is a [special plane] because of our people. Looking at Slide 7, you can see we ended September with 2.3 billion in cash, an increase over the second quarter. This is a direct result of the effectiveness of the management plan that David described. The key component of the management plan was to reduce our fixed costs, including aircraft lease payments. With these in place, the cash inflows from new bookings are significantly higher than the variable cost to fly our network. This is one of the reasons why the flying that we are doing makes so much sense. Moving on to Slide 8, we further strengthened our liquidity earlier this month with a successful issuance of more than 1.7 billion of convertible debt. With the completion of this offering, we now have 4 billion in cash sufficient for more than five years at current cash burn levels. This strong cash position will power our recovery and allows us to continue expanding our logistics business. Another strategic aspect of our management plan was to re-profile the debt with our financial partners. Since the end of the third quarter, Alex and his team have successfully concluded these negotiations. As you can see on Slide 9, we now have only R$425 million in debt amortizing between now and the end of 2021. We are confident we have the lowest debt maturities of any airline in our region, which gives us a significant competitive advantage as we move forward with the recovery. Our financial partners clearly believe in Azul and will continue to support us over the long-term. Now, I'd like to focus on our network and demand recovery. As you can see on Slide 10, our diversified fleet gives us an unmatched level of flexibility. We have aircraft ranging from 9 to 214 seats, which allows us to customize our network according to demand, deploying the right aircraft in the right markets. We also have the greatest percentage of next gen aircraft in the region. Slide 11 shows the evolution of our network. By December, we will have added back a remarkable 88 cities. In fact, we'll be serving 113 destinations by the end of this year. I want to thank our operating teams for their flexibility in responding to these massive changes to our network. This is a clear demonstration of our resilience and ability to adapt. On Slide 12, we try to provide a global perspective on our traffic recovery. It was never our objective to be one of the fastest to recover. This is a direct result of our unique fleet, competitive network advantages, and the design of our management plan combined with the recovering demand in Brazil. On Slide 13, you can see that we remain true to our network strategy by being the only carrier in 76% of the markets we serve. This is a clear indication that our competitive advantages are stronger than ever. By the end of this year, we expect to recover approximately 70% of our total capacity and over 80% of our domestic capacity. Moving to Slide 14, I wanted to show you two important indicators we are watching. On the left is a weekly booked revenue and domestic ASK’s as a percent of last year. The key feature of this chart is how both measures are improving together. Usually demand that pulls capacity, but sometimes it's also capacity that drives demand. On the right, we show how corporate travel has evolved. Pre-crisis we were about 60% corporate. We estimate that currently corporate revenue represents about 25%, a significant sequential improvement over the last six months, and much better than many parts of the world. On Slide 15, we further show how resilient our revenue base is. Publicly reported corporate ticket prices for Azul show us down only 4% in September, compared to last year. While our flown average fare overall is down, this is mainly due to mix from lower corporate participation and a much reduced international network. Average fares within each segment are showing strong signs of improvement, and we're confident the mix will continue to improve over the coming months. Moving on to Slide 16, you could see that our unique route structure and fleet flexibility allowed us to quickly recover key parts for our network. Capacity and hubs such as Campinas and Recife are already back to pre-crisis level, performing better than other industry hubs and providing the platform for the next recovery phase. On Slide 17, I wanted to give you an update on our codeshare with Latam. We now have 151 combined non-stop route selling. And even with reduced scheduled at both airlines, the Latam codeshare is larger than Azul’s entire codeshare volume pre-crisis. This partnership is a unique opportunity that will allow us to emerge stronger and better positioned from this crisis. I'm excited about the opportunities we have in logistics, as you can see on Slide 18. Azul Cargo is setting revenue records every month with the highest growth coming from e-commerce. Our diversified fleet and broad network of destinations allows us to reach all of Brazil quickly and efficiently. To meet this increased demand, we have converted for E1s to dedicated cargo aircraft. Going forward, logistics will be a key area of focus and investment for Azul. On Slide 19, we wanted to update you on TudoAzul club. Customer engagement program has continued to be very high through the pandemic. Our recurring revenue program, the TudoAzul club, in particular has performed very well. In addition, we just re-launched our credit card portfolio with a new premium card. Is the best airline co-branded card in the market and the initial results show this will be a unique opportunity to drive further customer loyalty. Finally, I would like to end by showing you why we are so optimistic about the future. Many of you questioned if the industry will ever recover to pre-COVID levels or if the market will be smaller post-crisis? We want to remind you that as you can see on Slide 20, Brazil is still an emerging market with significantly fewer travelers than Colombia, Mexico, or Chile. There is no reason that a continent sized country like Brazil, with diverse demand centers and limited alternative forms of transportation cannot catch up to the other countries in the region. I want to emphasize that Brazil grew significantly in the last 10 years, growing before COVID and still has tremendous room to keep growing. COVID will not change that. Finally moving on to Slide 21, I truly believe and I'm confident that we are emerging much stronger. In the past few months, we've examined every inch of our company, optimizing for maximum efficiency. Our competitive advantage has only widened with our strong cash position and successful implementation of our management plan. Azul Cargo has huge opportunities ahead and our strategic partnership with Latam is only getting started. Our crew members are ready to fly. And we look forward to continuing to show our customers, our partners, and our investors, what it means to be the best airline in the world.  When that, David, Alex, and Abhi, and I will answer your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Savi Syth, Raymond James.
Savi Syth: Hey, good morning everyone. Maybe for Abhi, could you talk about – this is kind of helpful in the presentation, showing kind of the percentage of mix in business [versus leisure], but curious if you could talk about, you know what you're seeing in terms of demand and revenue in 3Q and how that's progressing as it relates to kind of leisure separately and business and related to 2019?
Abhi Shah: It is [Abhi Shah]. Yeah, so look, I mean, we've been very encouraged by the demand trends recently. I think our competitors, as well talked about, you know, the holiday in September. The September 7 holiday really was the first, sort of event that started to bring back bookings in a very strong way. And that's continued through September and October, and now even in November, you know, last week was another record booking week relative to the start of the crisis. And we continue to chew in to the percentages compared to last year. So, the graph that John showed, you know, how bookings are recovering, compared to well, with capacity compared to last year, that's something that we're watching very closely. They're moving very nicely together, and it continues its upward trend. It is leisure that is leading the recovery as it is in many parts of the world, which is not surprising. When you look at for example, our direct channels such as our app or our website, leisure is at 100% or very close to 100%, in terms of revenue, right. And in terms of volume, it's probably pushing over 100%, and I fully expect that to continue as we head into our peak summer season. And I think leisure will be over 100% in revenue over the next couple of weeks and months. Corporate is behind, but it's also catching up, and the pie chart showed, you know how much ground it’s made up. One advantage that we have is our corporate is less dependent on the Sao Paulo, Rio type corporate. It’s more fragmented, small, medium businesses, smaller cities, agro business, so I think that it's recovering about five points a month, if you will. We're somewhere around 35% to 40% of corporate recovery at this time. And, which I think is you know, I think [indiscernible] it was 15% in the U.S. You know, so I think we're definitely ahead of the curve. And we're heading into summer now. And if we can pick up at this number, post-Carnival, then I think we're in a very, you know, in a good position to get around 75%, 80% by June, July of next year. So, you know, leisure is leading, corporate is improving, and inside corporate, you have variations between different industries. You have finance, you know, which is still behind, but you have oil and gas, which is over 50% at this point. So, you know, you have variations, which I think is natural, but the good news is that it is catching up. And the best news of all is that, you know, we feel confident in the bookings. And that gives us confidence to continue the capacity recovery on the domestic side, and that you can see that in our capacity guidance. And you can see that and how well cash is doing. So, you know, the trends are good, and we're going to keep going.
Savi Syth: That's great color. Thank you, Abhi. Just a quick question on fleet deliveries, just wondering what your expectations are for 4Q, and then again, in 2021, 2022 based on, you know, what you've been able to work with – it didn't sound like you did any more adjustments to the order book?
David Neeleman: Yeah, Savi, you know, we had an agreement with both Airbus and Embraer, to take aircraft that were already built. And so that was kind of what we did. And so you know, we will be taking a couple of additional units in the fourth quarter, but we will set them up in the same payment structure that we have with our other leases. They're all 100% financing. So, there's no financing risk there. But our outlet will be the E1’s converted to Cargo, right. And so if the demand recovery comes back very quickly, we can fly those as passenger aircraft to the extent that demand lags, for whatever reason in 2021, then we can convert more of those aircraft into cargo.  We've already done four, and we have a project to go as to many as 10 next year. And so that'll be our release. We've had had a couple of natural deliveries. We're sending three aircraft to Breeze, and we had, you know, just in the last quarter two natural deliveries as well. And so, you know, it's fluid, the fleet, as you can imagine, but remember, we've pushed out significantly, all of our E2’s and all of our Airbus fleet. And so, I think we've got a lot of flexibility as we move forward. You know, and there's scenarios where, you know, we're short aircraft by the second half of 2021. And that's a good thing, right? And so that'll give us opportunities to talk to the OEMs and get better deals.
Savi Syth: Makes sense. Thanks.
Operator: Our next question comes from Mike Linenberg, Deutsche Bank.
Mike Linenberg: Yeah. Hey, good morning, everyone. Abhi, just back to the, you know, you said the 100% of revenue more than 100% leisure? Are you implying that there are cancellations by corporate? What’s behind that?
Abhi Shah : No, no, sorry. I meant compared to last year. So, if you look at bookings on a weekly basis, leisure revenue has already reached the levels of last year.
Mike Linenberg: I see.
Abhi Shah: And corporate is around 35% to 40%. So, in the share, it is the numbers you see there, about 25 and 75. But I was referring to the recovery of the revenue of the booked revenue, compared to last year, the same time last year.
Mike Linenberg : Okay, great. And then just going back to on Slide 14, which touches on the Corporate Leisure split, there's also the chart there, where you compare capacity growth and booked revenue by – and I know, John sort of quickly said, you know, sometimes it's, you know, capacity pulling, you know, sort of revenues, or revenue and demand, you know, sort of pushing up capacity. You know, over the last couple of weeks it does look like you're booked revenue is outpacing capacity growth, but how much of that is organic versus stimulated? Because when I look at your yields, you know, they are running down 20% to 30% year-over-year, is that more stimulation or is there an organic element to that? So, I'm trying to figure out what's driving what?
Abhi Shah: Yeah, so in regards to the yields, the yields that you're seeing are the flow-in yields, right, for the third quarter. And those flown numbers are impacted by what happened back in April, May, and June. And you also have the impact of the capacity that's coming back online very quickly, right? I mean, this the ramp up that we're doing in capacity is something like, you know, 20%, 30%, 40% month-over-month in some months. So, it's going to take time for the flown revenue to catch up to the booked revenue, especially when you have changes of this velocity and of this magnitude. So, what's really important for us in terms of future planning is what are the recent trends in terms of bookings? So, you're right, bookings are pretty strong right now. And as I’ve said, last week was actually a record week in terms of booked revenue, since the crisis, and also in terms of the relative to last year. That informs our decisions on what kind of capacity we'll have out December, January, and February. So, that gives us confidence. It's organic, in the sense that it's been driven by the seasonality, right. So, we are entering the best seasons of the year here in Brazil. And so, you are going to have that increase in volume. Now, as John said, you have to have the seats though, to accept that revenue, right. So, it's one thing that I'm learning so much in this process is that they really go together. And, you know, sometimes demand is going to say, look, I need more capacity, but sometimes the capacity is going to drive the demand, whether it's connectivity, whether it's improves corporate schedules, you know, increasing frequencies from two times a day to four times a day to six times a day that drives revenue, or whether it's adding back cities like we've added back the 88 cities. So, they're very, very closely linked, it’s organic, the capacity is being informed by the demand that we are seeing and the confidence that we have, and we're putting up the capacity, and we're seeing what happens. And as that chart shows, you know, we've been pretty, you know, we've been consistently rewarded so far, since April. And that gives us confidence to go forward.
John Rodgerson : And my breakage is that, you know, Brazil and Sao Paulo just went to the green phase about 30 days ago, right. So, within the fourth quarter, not in the third quarter, schools are still not back in session yet. It's one of the few countries in the world where they haven't been kids back to school yet. And so, to see the demand that we're seeing right now, with just getting started on recovery, gives us a lot of hope as we move through the end of the fourth quarter. 
Mike Linenberg: Just taking everything that you and Abhi just said, is it reasonable to assume that you're PRASK, your year over decline in PRASK for the fourth quarter will be less than the year-over-year decline that we saw in the third quarter? Is that what the trends are telling us?
Abhi Shah: Yes. So, Mike, I'm focusing on RASK overall, which includes cargo and salary, all those kinds of things. You know, so yeah, so it's going to be similar, if not a little bit better. And one of the reasons is, is that the capacity keeps increasing, right. So…
Mike Linenberg: Yeah, that's fine. That makes sense.
Abhi Shah: Exactly. So, we're balancing RASK recovery and we’re balancing ASK recovery. And the level of bookings is what tells us, you know, which way to go. And right now, I'm feeling very confident that the capacity recovery is the right way to go. You can see that in our cash numbers. And so, you know, until the capacity curves start to stabilize as we approach a 100%, then the RASM will start to catch up.
John Rodgerson: I think the way we established the management plan, Mike is really, you know, unique to what we're doing. And so, when we paid our aircraft rent, flying incrementally, we don't have to pay anything additional. That's not the same that's been – that's happened with other carriers in the region, right. And so, every incremental flight has required incremental ownership cost for that flying, and so it's actually cash flow positive for Azul to build its network back online, and you're seeing that. I mean that's why we're, you know, the only carriers in the world that didn't burn cash in the second and third quarter, when there really wasn't a lot of demand. Now, let's move forward into the fourth quarter, into the first quarter, as we continue to demand recovery.
Mike Linenberg: Great. And then just one quick last one on TAP, I just – the comment that you made about TAP, you sold [the steak], is that, you know, besides, you know, having aircraft on lease to them, is that the end of your investment in them? Is there anything left?
John Rodgerson: Yeah, there's no equity investment anymore Mike. There is a commercial relationship on the sublease side with the aircraft. And, commercial side, you know, with a codeshare and the joint venture, you know, those are all very positive for both Azul and TAP, you know, both the leases and the joint venture. So, those will continue moving forward, and we have the bond, right, which is now secured. You know, it's always been secured by TAPs loyalty program, but now the government is putting in, you know, a big capital infusion into the company, securing the future of TAP.
Mike Linenberg: Okay. Okay. Now, that's right. So, you still have the bond. Okay, great. Thanks, everyone.
John Rodgerson: Yeah, it was great, but the bond is, that we got the deals done. The convertible deal done is still totally unsecured. And so that's, that's – it could be …
David Neeleman : The bond is still unencumbered. So, it's another asset, another unique asset that we have that we can potentially monetize.
Mike Linenberg: No, that's a great point. Thank you. Thanks everyone.
John Rodgerson: Thanks Mike.
Operator: Our next question comes from Dan McKenzie, Seaport Global.
Dan McKenzie: Oh, hey, good morning, guys. Thanks. One housecleaning question here, just given the savings on the re-negotiated leases, what are you looking for, for interest expense in the fourth quarter? And then, you know, just related to this, I'm wondering if you can provide some insight on, you know, say a balance sheet roadmap for year-end and in what you'd like it to look like year-end of 2021?
John Rodgerson: Hey Dan. So, we gave guidance on the rent payments that we’ll have for the year, and what that represents in terms of the total rent payment if we were not deferring, right. And from that, you can calculate what the interest expense is going to be because the expense continues accruing, right. The cash is not leaving, but the expense continues accrued. So, you can calculate that with the numbers that we provided. We also provided a, you know, a few, a couple of quarters ago, we provided guidance on what we estimated the lease liabilities would be by year-end. And we're on track to deliver that, except for the fact that exchanged has moved, right. So, we were in the kind of mid R$12 billion in terms of lease liabilities. And we'll be a little bit above that, but still below 13, just because of the exchange move. And then you can add the net debt, which we also have on the balance sheet that shouldn't change, you know, between now and end of year.
Dan McKenzie : Okay. Very good. And then I guess just, you know, second question here, just, I guess Abhi picking up on your commentary, you know, around being in a good position for corporate travel to recover at 75% to 80% in June or July of next year. You know, that would be a pretty impressive recovery, of course, and I'm just wondering if you can elaborate a little bit on what your clients are saying, you know, about video conferencing versus the need to see the clients in person. And then just separately, just given the diversity of the network, you know, I presume at this point, it's the big cities leading the recovery, but I'm wondering what you can share about the recovery, you know, just by geography, and say, you know, what you're seeing in some of the smaller cities as well. I’m just wondering if you can elaborate a little bit more on that?
Abhi Shah: Yeah, sure Dan. Yeah. So, in terms of our customers, you know, it's interesting. It's – by industry, you know, as I said, oil and gas is over 50%, but finance is at 20%, you know, and even within finance, for example, we have one bank that’s flying a lot, and we have another one that's not flying at all, you know, and so it seems to be a lot more sort of individual policies. Many companies here in Brazil, are adhering to the global policies, multinationals especially, even though, you know, the circumstance in Brazil, the seasonality is different.  So, you know, I – the really positive thing, and that's what David talked about initially, is that we're not seeing any opposition to the act of air travel, right. I think the industry has done a really good job in talking about safety onboard, in implementing tons of stuff about safety on board. And that's really increased customer confidence, in a way that it's not really a discussion from our corporate customers, you know, I don't get feedback saying, oh, I flew you guys, and I didn't think it was safe, you know, not at all. I think it's more about just kind of when is their policies going to bring people back to the office? And again, you know, we have one bank that's flying a lot, and other one that's not.  So, I think it's more individual kind of what they feel comfortable with. In terms of geographies, it's actually not the big cities that's driving the recovery. And, you know, we showed on the graph that, you know, Congonhas in downtown Sao Paulo is still lagging behind as sort of big, large corporate, you know, sort of brings up the theme of the recovery. You know, where recovery is very strong is the North. Northeast is very strong. Our Harbin, Campinas is doing very well, [Rafif] is doing very well. You know, the fact that we're added back so many destinations is, is bringing back a ton of connectivity to our network.  You know, we're still more connected than last year. That's partly because of less corporate demand, but also because that's the demand that's coming back first. And so, our unique position and the breath in our network, together with the fact that we can have ATRs and Embraer’s and A320s, and even A330s flying domestically really allows us to come back online. You know, capacity in 4Q will be double of 3Q, right. And we're confident in that because of the bookings that we have seen, and so on revenue will catch up over time, once we get to a steady state scenario. So, geographically, it's more connections. It's not big cities, actually. The breadth of our network is really helping us right now. And the fact that we just fly to so many places that nobody else does, really allows us to capture the demand, you know, into our hub.
John Rodgerson: And Dan, it's not the same. A video conference is not the same as visiting your client, taking him to dinner. You know, we fly throughout all of Brazil. And you know, we often say, look, the first deal you lose, because your competitor visited your client, your butt's going to be back up on aircraft, right. And I think that that's what we're all about. We wanted to kind of frame for you, you know, Brazil is still in a huge growth phase. And so maybe get set back a couple of years because of COVID in terms of growth, but, you know, Colombia and Mexico being 65%, bigger than Brazil makes no sense.  I mean, look at the size of the economy, look at everything that's happening in Brazil makes absolutely no sense. And so, you know, Brazil will be back to growth. And we're going to take advantage of that. And so yes, maybe there is some people that choose not to fly and choose to do video conference, but many of those same people that chose not to fly, you know, back and forth Rio, Sao Paulo, they’re actually flying to the northeast, and they're renting beach houses. And so, that's a lot of what the demand that we're seeing right now. They’re not afraid of traveling, they've just chosen because they can work remotely, so they're working remotely all throughout the country.
Dan McKenzie: Very good. Thanks much, you guys.
Operator: Our next question comes from Pablo Monsivais, Barclays.
Pablo Monsivais: Hi, good morning. Thanks for taking my question. I have a few questions here. The first one is a quick one. Do you have any update from your previous quarter on the respect of lease payments for the next two years? And my second question is, on the unit revenue side, on the unit revenue, you said that you want the capacity to be back and then you will focus on unit revenues, but how should we see the recovery for 2021, and probably 2022, in terms of unit revenues? And then in terms of average fares, for example, [leisure occurs] in the third quarter of this year, compared to last year? And what should we think about average first in the first quarter of 2021, compared to the first quarter of this year? Thank you.
John Rodgerson: Sure. Hi Pablo. So on the leases, that's essentially the profile that we have been describing over the last, you know, couple of quarters where, you know, we were for a few months at zero percent payment, then we went a few months at 20%. Right now we're at 40. Over next year, we will be six months at 60 and six months at 80. And then in 2022, will be the full-year at 100. And only in 2023, we start repaying back that debt, but that debt will be paid in very small installments over, you know, a number of years. So, we'll never go above you know, 125 rent. And again, it's not that our rent expense is going to go up, we'll just be repaying this interest free loan that we were able to negotiate with our listeners, right. So, no big change in the profile. And again, you know, very valuable negotiation, because it's what's allowing us to be ahead of the curve in terms of cash generation, and ahead of the curve in terms of network recovery.
David Neeleman: And before we pass it over to Abhi on the specifics, the way we structured this is the best cash flow answer for Azul right. And so, other players may do other things, but in our best interest that if we're paying 40%, aircraft rent to fly and bring in additional cash and so you will see us doing that all throughout 2021. If there's a vaccine or not, we're still only paying 60% rent for the first six months, we're still only paying 80% rent for the back half. And so there is a scenario where Azul builds a significant amount of cash in 2021 as the demand recovery comes back. And because of the way that we've negotiated these lease terms.
Abhi Shah: Yeah, Pablo. So the, we're obviously balancing unit revenue and capacity. And it's not like we're focusing on one more than the other. Obviously, we'd like both to come back as soon as possible. You know, even though for example, in November, as doubled the capacity of August, our unit revenue is up and it's steadily been up each and every month as we have executed this recovery. But it's going to take time for the flown revenue to catch up, because what we are watching is bookings and bookings into a larger and more recovered airline as we move forward. So, you will continue to see this difference between bookings and flown, at least for the next couple of quarters, until we get into the second part of 2021. And then you will see the unit rev, the flown unit revenues start to catch up to what we had earlier in pre-crisis. But as John said, you know, this is the right thing for us to do, in terms of how we bring the airline back online in a very responsible way. And so, it will take a little bit of time for the flown to catch up, because the differences are so big, you know, November was double of August. 4Q was double of 3Q. And so it just takes time for the flown revenue to catch up. In terms of leisure fare, you know, average fares overall, is a separate – the mix issue and the biggest mix issue is international versus domestic, right. So, we are only 8% of our capacity is domestic right now, it was 25% last year. International fares are three, four times domestic fares in absolute terms, especially when you consider a business class on a long haul product. And so that's one main reason for overall fares. Then you have the more connections, you have corporate versus leisure. But if you drill down to each individual segment, and look at just leisure fares, for example, they are shown really good recovery over the last few months. Our booked average fares are up over 60% since July. Our leisure fares just compared to last year are within 10% of last year, just that segment alone. So, those numbers are recovering very nicely. And again, as we start to level out the capacity recovery, those will get realized into the flow numbers over the next couple of quarters. And of course, you have the Abracorp data that John showed, which is that our corporate fares have been very, very resilient, compared to the industry. So, it's just a matter of time for these numbers to show up in the flown revenue, but because we are recovering so fast, it'll take a few quarters to do so.
John Rodgerson: And I think there's also a high-end leisure segment that Brazil hasn't seen before. With the borders being closed, and people not able to go to Paris and London and Frankfurt and Rome, and New York, you know, Brazilians are spending time in the Northeast of Brazil. And that is something that there are certain weeks of the year where fares are up significantly year-over-year, just because there's so many people looking for these leisure destinations.
Pablo Monsivais: Interesting. And then kind of a follow up, I guess that also, Abhi, you mentioned last quarter, that international market won't be your top priority right now that you're going to focus more on the domestic side. And I guess that when international travel – is up, you will have obviously our [rent fares] increasing. How are you seeing international traffic evolving [more than a] quarter? So, do you think that you're going to be back at some point adding some international routes or [should respect] that market to remain depressed for the next six months?
Abhi Shah: Yeah, Pablo. So, yeah, look international is going to be slow, and that, you know, normal given the restrictions on borders and, you know, and currency of course, but, you know, we are fully utilizing our A330s right. So, we have the airplanes flying domestically, which is very, very positive for cargo. It's very positive as well, for example, between Campinas and Recife are our two largest hubs. The aircraft are delivering a ton of connectivity, flying to Manaus as to Belem as well. And the airplanes are not flying or doing maintenance. So, actually, so our A330 fleet is fully utilized. Our focus is domestic. The only market that we are ready to open is Orlando, to the extent that the U.S. border opens up anytime soon, you know, we'll be ready to begin Orlando again, shortly thereafter, but we have no other ambitions beyond that, in the short-term for international. It’s going to be from Campinas only, the rest of the time the airplanes will fly domestically, and they really are contributing in a very, very positive way, both to passenger connectivity and for cargo.
Pablo Monsivais: Awesome. Thank you very much.
Operator: Our next question comes from [Fernando Heck, BTG Pactual].
Unidentified Analyst: Hey, thank you for taking my question. Just a quick follow up here on the fares behavior, I understand that on a year-over-year basis, we have seen a drop, [indiscernible] make mainly because of the reduced international network. But when we look at the quarter-over-quarter, we also are seeing a reduced – a decrease. So, I wanted to further explore this, why we are seeing a decrease in a quarter-over-quarter basis? And also, looking at 4Q in 2021, how you're looking – I mean, you already mentioned that you're expecting the international rebound and this should bring tariffs up, but if you could elaborate on domestic average as well, how you're seeing? Thank you.
Abhi Shah: Yes, Fernando. Yes, so the big difference you are seeing is just the pace at which we are recovering the network and the time it takes for the flown average fares to show up in the data, right. And so, as I said, the booked average fares for leisure traffic is within 10% of last year, which is very, very positive given how fast we are recovering our network. It's going to take a couple of quarters for the flown numbers to show up because of the booking curve and the time it takes for the booking curve to fill in.  Remember that the demand environment is changing very quickly. The bookings that we are seeing now are 10 times larger than what we saw back in April and May, right. So, it's going to take time for that data and that revenue to show up in the flow number. So it's more a matter of time and a matter of how we are recovering the capacity. And once that stabilizes, you will start to see average fares and the unit revenue start to converge to what we had before. And just for international, we are not expecting any major growth in international next year. The only new market that we will add, once the U.S. borders open up, is Orlando. But we're going to remain very conservative on international and focus our wide body aircraft flying domestically.
Unidentified Analyst: Okay, perfect. No, just to make sure if I got it correct, so the increasing book you're seeing now will reflect on the [4Q] right, or in the [1Q], you will still be impacted by the lower demand in May and April?
Abhi Shah: It's going to start to come in every single quarter more and more. So 4Q, you will have impact; 1Q, will be less impact; and 2Q will be less impact. But every single quarter will get better as we are flying this new and improving booking scenario.
Unidentified Analyst: Okay, thank you.
Operator: Our next question comes from Savi Syth, Raymond James. Savi, your line is open.
Savi Syth: Sorry about that. Thanks for the follow up here. I'm just wondering on the cargo side, if you could provide a little bit more color? It is – you know, you're excited about the opportunity. It sounds like it’s kind of passenger doesn't recover as quickly there's an opportunity to add more E1s in there. Just how large can – from a revenue standpoint, can that segment get? And, you know, how much progress have you made so far?
Abhi Shah: Yes. Thanks, Savi. So, you know, we've actually made very good progress. If I just look at the revenue numbers now, October was double of, you know, May or – you know, and almost double of June even. So, it is growing very, very quickly. Of course, having the A330 flying domestically is helping a lot. The four Embraer aircraft are fully utilized. Utilization is, you know, pushing eight hours a day. One or two of them have already been signed up, you know, sort of on a dedicated with one of our customers, but, you know, the other ones are flying as we need them and other customers are calling us.  We just crossed over 1 million packages a month and we expect that to be 1.3, 1.4, 1.5 over the next couple of months. And, you know, it's – 20% of revenue overall and it was 5% before. And now, of course, passenger has come down, but there has been sort of a rerating of the relevance of the cargo business. And, you know, I expect that – what was 5% before to be 10%, 12% going forward, once passenger comes back. So…
John Rodgerson: And Savi, converting the E-Jets makes business sense to do. You know, we're lucky as we have the E-Jets available and we can do it in a relatively quick period of time. But it's not like passenger demand is bad, so let's do this. That – you know, it has its own standalone business case that makes it work. And, you know, those are already sold out, you know, for the next six months to our e-commerce players. And so, we'll continue to evaluate that. And there's an arms raised in deliveries in the country, and it's very, very clear. Amazon's coming, [indiscernible] is very strong. There's a bunch of players that are running after this e-commerce space. And it's really our network advantage that's unmatched. You know, one guy cannot compete with us, because we serve 113 domestic destinations and that makes a huge difference.
Savi Syth: That makes sense. Thank you.
Operator: Our next question comes from [indiscernible].
Unidentified Analyst: Hi. Hi, everyone. Good morning. Thanks for the call. Thanks for taking my questions. Just a couple of more general ones on my side, firstly, I'd like to hear what are your views regarding the competitive landscape in Brazil? For example, there was some news about a business operator that wanted to launch a more premium airline in the country. What will be your thoughts on that? And maybe could it be that fragmentation become sort of [fantasy] right now? And also considering all the changes surrounding the markets in Latin America, does this see any opportunities for maybe some regional expansion in [indiscernible]? And thank you.
David Neeleman: First of all, we have no desire to go to Argentina, Chile, Peru. [Indiscernible] is a big enough headache for us. You know, as for competition, Azul is leaner and better than ever. We were rated the best airline in the world. We're happy to compete with anybody. You know, the new airline that’s talking about starting up is talking about flying to the triangle, go to [indiscernible] Rio, you know, welcome to Brazil. You know, we built this over $1 billion of equity capital that's into this business. We're stronger than ever and we're ready for anybody to compete with. And so, again, there will always be competition. In that way, we always need to be stronger and more efficient. And I think our crew members know that, and we welcome competition. We have great local competitors today. And we're a better airline today, because of our competitors and bringing more competition will help us raise our game. You know, once we became the rated the best airline in the world, we need to step it up every day and we're doing that from an efficiency standpoint, and from a product standpoint, but as for aspirations in the rest of Latin America, the opportunity is in Brazil, you can see that in the chart. Brazilians need to travel a lot more. We're going to double aviation in Brazil over the next decade.
Unidentified Analyst: Okay, great. Thank you.
Operator: Excuse me, ladies and gentlemen, we will begin the question-and-answer from the webcast.
David Neeleman: Okay. So I think we have our first question from [indiscernible] UBS. He's asking us to talk a little bit about – now we talked about the lease payments. One question was the change in the flow of lease payments, which we already covered? The other one is how much of the reduction is from the lease liabilities, is comes from the rate increase? How much from changes in the payment capital? Yes, so the reduction in lease liability, you know, I think everybody's used to IFRS 16 up to this – by now. You know, when you have a change in the leases, you know, lease modification you have to recognize the asset and the liability. You have to adjust, you know, for the change in the terms of the lease agreement. The lease liability has been reduced because of, you know, payments happening later in time, an increase in our cost of capital due to the COVID crisis and discounts in the lease, the rent payments as well right. Out of those, you know, I think we talked about this in the past, you know, about 60% is probably the interest, the discount rate and the rest primarily comes from the payment deferrals, you know, the fact that you are paying the same amount of dollars later in time, right. If you recall, this is a loan of over R$3 billion that we got from our lessors at no interest, right. So this was a financial transaction. I think it'd be very easy for everybody to see just the huge value and the benefit from this negotiation. It's embedded in the lease terms, but that's effectively what the result is, right. And then we also had rent reductions. I mean, one thing that's important to highlight, you all know how excited we are about our next-gen aircraft, right? We are ahead of the curve in terms of our fleet transformation. You know, we already have about half of our capacity coming from next-gen, and we can't wait, you know, to bring these next-gen aircraft into the fleet.  You know, we could potentially get reductions, you know, bigger reductions in our rent payment if we extended the leases on our old generation aircraft. That's what our competitors are doing. It's very easy to do. It's an option that we can exercise whenever we want. But we do not think it's in our best interest to do that. You know, we have the cash to pay a little bit more rent right now, and see these aircraft going away, you know, in their original lease expiration date, right? And then, be able to bring in a A320neo and E2s, which will have lower rent payments, lower fuel burn, higher seat counts, and better ESG figures as well, right. So, it makes total sense for us to be able to extend a little bit more rent payments now, but get rid of these old generation aircraft and continue to be years ahead of the competition in terms of moving on to next-gen. And I think another question we have here is on the dynamic of sales and transportation liability also from UBS. We've seen some gains there while current booking curve is likely shorter. Our sales recovering quicker than demand or could be explained by tickets sold before COVID and not being rescheduled yet.
Abhi Shah: No, the gains that we have showed are all new bookings, okay. That's an important point that says that we're tracking new bookings. We have seen customers use credit shells, but it's a small percentage of the cash that's coming in. Our refund balance also is small compared to the overall pie of what's out there. You know, it's 80% credit shells; 20% refunds that we have over a year and it's very spread out. So, we don't expect any back from that. But all the bookings numbers that we've shown are new bookings, not rescheduled bookings. And therefore, that's why they're translating so positively into the improved cash numbers.
John Rodgerson: Yes. And even if you look at our air traffic liability on the balance sheet, you know, Abhi mentioned sort of the credit shells and refunds, those are the smallest portion. They don't amount either – even to a third of our ATL. You now, it's really the new bookings that Abhi been able to sell that represent the vast majority of our ATL. We monitor both the credit shell and the refund, you know, queue.  You know, we've been managing them. They've been coming down in total compared to just in absolute terms and also compared to our ATL. And like Abhi said, you know, if they ever become refunds, you know, the refunds are less than 10% of our ATL today, and they are spread over, you know, almost a full-year, right. It's not all coming due in one month. It's all kind of spread throughout a high number of years.
Operator: [Operator Instructions] Our next question comes from [indiscernible].
Unidentified Analyst: Hello, everyone. Thanks for taking my question. I would like to know how you are seeing the customer behavior right now? I know before on the second quarter, they were buying with less time to travel and now just see if confidence is raising. And also, I know in June or July you guys launched a new program that allowed customers to buy tickets with longer installments. I think it’s was 10 times without interest and I would like to know how you guys are perceiving this new product if it's helping at all? Thank you. 
Abhi Shah: Yes. Hi, [indiscernible]. Yes, so definitely customer confidence has increased, especially as we are getting into summer. You know, we are seeing customers book further out into December and into January as well. And we also know from our net promoter scores, you know, customer satisfaction is actually very, very close to last year, which is an amazing sign, you know, given sort of all the news out there. So, you know, I think customers are confident. You know, we have – we're flying, you know, tens of thousands of customers every single day. We rarely get reports of customers, you know, wanting to change seats or move flights or anything like that. So, customer confidence is improving with the summer season. Customers are booking further out. And you're right, we do have 10 times installments. It's actually come and gone. It's not new in the sense that Brazil had it. It's been around for a couple of years and it went away and now it's come back. And I think, you know, if it just helps customers take that first step just to fly again, then I think it makes a lot of sense because we're confident in our product and our experience. And we know that once customers fly us that they'll keep flying again. So, you know, we receive very positive feedback from our customers.
Operator: Ladies and gentlemen, this concludes today's question-and-answer session. I would like to invite John to proceed with his closing statements. Please go ahead, sir.
John Rodgerson: I'd like to thank everybody for your patience. We've done a lot in the last three months, a lot in the last six months. As you can see, we're excited. There’s great industry discipline out there and Azul is ready to move forward and you're going to see us be stronger every single quarter as we move forward. Thank you and we look forward to meeting with you all individually.
Operator: Ladies and gentlemen, that does conclude the Azul’s audio conference for today. Thank you very much for participation and have a good day.